Operator: Hello, everyone, and thank you for joining the ANGLE 2025 Interim Results Call. My name is Claire, and I will be coordinating your call today. [Operator Instructions] I will now hand over to Andrew Newland, CEO. Please begin.
Andrew David Newland: Good morning, everybody, and welcome to ANGLE's interims webcast for 2025. It's been a very strong half year in terms of major progress in commercialization on multiple fronts. However, there has been strong revenue pressure from adverse market conditions. So it's a balanced 6-month period. As you know, ANGLE has developed a breakthrough product for cancer diagnostics, which can be used to help patients get better outcomes by making sure that they have more appropriate treatment and also reduce health care costs. We're getting closer to its deployment widely for patients. We've had 3 major achievements during the half year, which are in relation to large pharma contracts, DNA dual analysis and cluster buster drugs. So I will tell you about those now. First and very importantly, our large pharma strategy, which we've developed as a way of accessing development funds to progress clinical trials in support of Parsortix has progressed well. The idea here is that pharma can fund for their own drug development purposes, individual clinical trials and that they can actually lead eventually to a companion diagnostic based on the Parsortix system and wide adoption. So as you know, we've had 3 pharma projects -- large pharma projects that we've been working on. And all 3 of those successfully completed during the period. The first one, the Eisai HER2 breast cancer trial was very important as it demonstrated in a 200-patient cohort Phase II trial that 2 tubes of blood taken at the same time and processed by Parsortix gave very consistent results in terms of the number of cancer cells present, the circulating tumor cell clusters present and critically, the expression or absence of expression of HER2 protein. But -- and this is the key point, the 2 time points were different. So very often, we saw that the patient's condition had changed. And this was to be expected because the first blood draw was taken prior to the patient being given the HER2 antibody-drug conjugate drug and the second time point was afterwards. So we saw significant changes in some, but not all of those patients. We're currently awaiting access to the clinical data to demonstrate whether or not the changes we saw directly correlated with the patient response or otherwise to the drug. But that's obviously what we would anticipate. So this trial has successfully confirmed that our HER2 assay, so our test for analyzing the HER2 protein on the cancer cells is very useful for the HER2 drug clinical trials, but also is likely to be relevant for selection of the drug for individual patients. So that was a big step for us. Secondly, the 2 AstraZeneca contracts, which were slightly different in nature because we were funded to develop assays for AstraZeneca. The first one was in DNA Damage Response, which is applicable for multiple cancers and the second one in Androgen Receptor, which again is a protein, but in this case, for prostate cancer. Both of those assay development projects were successfully completed. And we're now waiting actually to hear from AstraZeneca and indeed from Eisai and BlissBio, the owner of the ADC in HER2, about next-stage projects. So we've got next-stage projects under discussion with those companies. The second major achievement was the development of the DNA dual analysis, Illumina, end-to-end NGS assay, and I'll talk about that in more detail later, but it was a major achievement during the half year. And the third one, which I'll also discuss later, was the publication in Nature Medicine, a top-level peer-reviewed journal of the first inpatient trials for cluster buster drugs developed using Parsortix and fundamentally dependent on Parsortix. Post the half year-end, so since the 30th of June, momentum has continued, and we were absolutely delighted last month to announce our first large med tech collaboration. So why would a med tech company want to collaborate with ANGLE? Well, the answer is that we can offer them access to circulating tumor cells, so intact cancer cells from blood. And if they can move their test across to that analyte, then they can do repeat testing. And I'll talk more about that, but we're delighted to have secured that collaboration deal with Myriad Genetics, which offers the potential for large-scale commercialization of the Parsortix system. And as I said, I'll explain that. We built out the pipeline of opportunities with multiple large med tech and large pharma companies. So there are other companies coming down that track. One of the very interesting developments is the development that we've now managed to engage with the NHS in very serious discussions, and that has come since the NHS' announcement on the 30th of May that they were launching something called blood test-first in lung cancer, where lung cancer patients will have a blood test processed. And that is current -- to identify whether the specific treatments they can be given. The advantage of that blood test versus the tissue is that the results from the blood test can be found quicker, so the patient gets treatment quicker. And also a number of patients, probably about 20% don't actually have a successful biopsy. So they have no sample to guide their treatment. But what the NHS is interested in is the DNA dual analysis solution that ANGLE uniquely provides. So I'll give more information on that a little bit later. And then finally, internally, we've been working extremely hard, and we're making very good progress on accrediting -- getting an accreditation for our clinical lab. We're targeting completion of that by the end of the year. And that would then open up the possibility for ANGLE to start offering tests directly for patient management, which clearly would be a major step forward for the business. In terms of the half year results, in terms of the finances, we have unfortunately been subjected to the challenging market conditions. Market volatility and tariff concerns have actually slowed decision-making regrettably at many large corporates that we're in touch with. So they're pausing or delaying some of their decisions. And that comes on top of a lack of capital for the smaller companies that we'd like to work with. So in both cases, there's been a delay in conversion of pipeline opportunities that we've been developing. The consequence of that is that the pharma revenue is regrettably down on the prior year half year period, and the product revenue is flat. We believe that this is a temporary situation, which will resolve itself over time. But at the moment, it's unclear when that will happen. We've been managing our costs very carefully with tight cost control, and we've reduced our operating expenditure by 12% compared to the previous period. And overall, that has slowed down to the comprehensive loss being reduced by 7%. Clearly -- and the cash and R&D tax credits position stands at GBP 6.6 million with the cash runway unchanged into Q1 2026. But clearly, access to additional funding is a key focus for the business for H2. And that funding can come from a variety of different sources. In terms of some more granularity on key developments, our integrated NGS workflow with the Illumina platform is a major step forward for ANGLE. It's a unique offer actually, that ANGLE offers the ability to assess both the DNA from circulating tumor DNA, the dead, which come fragments from dead and dying cancer cells which is the standard approach from the plasma as well as the circulating tumor cells, which we can obtain from the waste product of the ctDNA analysis. So the ctDNA providers, what they do is they extract the plasma liquid and they throw away the blood cellular component. What we've developed is the methodology for resuspending that in a saline, running it through the Parsortix system and recovering the circulating tumor cells, and they can then be analyzed with the exact same approach of sequencing as the ctDNA. So then you have 2 analytes from the same tumor blood, which have been sequenced in the same way. As I said, we're the only company that can offer that solution. Now what we've done in the half year is we have developed an Illumina end-to-end solution. So by that, I mean, we start with the Parsortix, but then we use an Illumina pan-cancer gene panel and the Illumina next-generation sequencing. And that has some really significant advantages. Firstly, Illumina has got worldwide distribution of its products, which means that there is a customer base with their products that can now implement Parsortix. We don't have to supply a separate cancer panel external to Illumina. And secondly, of course, this increases the revenue potential for Illumina and has got them quite interested in working with us on joint sales. Now this form of analysis, as you can see from the image here, identifies twice as many mutations, so actionable DNA variants than ctDNA alone. And it is therefore the case that we believe that very, very important information about how the cancer is progressing is missed by circulating tumor DNA. It's also missed by tissue biopsy because the tissue biopsy is a onetime point. And what happens is the cancer progresses and changes and you can't repeat the tissue biopsy. And that is what has stimulated the interest from the NHS. And they're now considering the idea of testing on a large-scale basis, whether they can, in fact, get additional actionable information from the circulating tumor cells, which would improve the outcome for patients and importantly, reduce the cost of operation. So this whole area of getting the Illumina end-to-end DNA dual analysis to work was a major achievement in the half year. The second major achievement was this first medtech partnership. So this, we think, is the first of many such medtech partnerships. It's driven by the idea that companies who offer tissue-based tests. Now in the case of Myriad Genetics, they do that via large-scale clinical laboratories where they offer tests. These companies basically can only do one time point for the patient. They can only do their test when they've got the tissue available. Now the same approach applies also to medtech companies who sell products. Their products can only be used at a single time point where there is tissue. And this is a crucial limitation on cancer care today, which is that it's all based off -- apart from some ctDNA, which has its own limitations. It's all based off tissue where there's only one time point available. And yet everybody knows that cancer progresses and changes. So with Myriad, the idea here is that they are working with ANGLE to see if they can port one of their cancer tests onto a CTC platform. So that would then enable them to have, as I mentioned, multiple repeat tests for a patient, so that generates repeat revenue for them. And secondly, it opens up the opportunity to provide tests for patients who don't have tissue and quite a lot of patients have a failed tissue biopsy or alternatively, the biopsy tissue is not accessible. So that's 2 major benefits for them. The third potential benefit is actually looking at patients before the tissue diagnosis. So if you have a test, you can do a blood test without any major impact on the patient. So you can do it very early when, in fact, you might not choose to do a tissue biopsy because of the invasive nature of that. So Myriad has made a commitment to expanding its offering across the cancer care continuum. And we see Myriad as an excellent major partner for commercialization. They have, as I mentioned, a very large-scale clinical laboratory establishment, and they're a major player. They have around $800 million in revenue as it stands at the moment. And they're an outstanding partner for us to work with for commercialization because they have already got all the market channels in place. We expect to see other medtech partnerships coming through in due course. Now the reason I've highlighted this area of targeting metastasis is because the Parsortix system has unearthed some amazing information. The fact that there are large-scale circulating tumor cell clusters present in patient blood and that these circulating tumor cell clusters are absolutely incredibly important in terms of the metastasis of the patient. In fact, the Aceto Lab in Switzerland has demonstrated using Parsortix in a mouse model that the cancer is 100x more likely to spread. The metastatic potential is 100x greater where there are circulating tumor cells in a cluster than when the same number of circulating tumor cells are separate rather than attached to one another. And these large-scale circulating tumor cell clusters have never been seen before the advent of Parsortix. Now we previously reported the publications by this group over the last 4 or 5 years in nature. But what they've done is they've stepped forward, and we announced in January a publication again in Nature Medicine, where they have used the Parsortix system with breast cancer patients to identify patients with circulating tumor cell clusters. And then they have given them a heart-related drug called digoxin and showed again using Parsortix, the ability to separate these circulating tumor cell clusters into individual cells. That same process in a mouse reduced the spread and pretty much stopped the cancer progression in the mice compared to identical mice that didn't have the heart-related drug. So there was now a spin-out company that's been set up in Switzerland with the idea of developing a new class of drugs to stop the spread of cancer. And this can only be possible if the Parsortix system is used to identify whether the patient has circulating tumor cell clusters and ensure that the right patients get the drug and then monitored with routine blood test to see whether they need to have the drug again. We expect that there will be major clinical trials using Parsortix in order to progress this further. So a very exciting development for cancer management of the future, and it's entirely enabled by the Parsortix system. So our system has a lot of evidence behind it, and that continues to build. So now we have 46 independent cancer centers in 15 different countries, who have published between them 115 peer-reviewed journal publications on Parsortix across 23 different solid tumor cancers. And all of these publications are positive. So we are now into the phase of commercialization. As I mentioned earlier, we have had some adverse market conditions, which have temporarily slowed the decision-making process at some of the largest companies. However, we have a very major pipeline that we have developed, and we expect to see a whole series of developments coming through in the relative near term. So we're getting started on the Myriad Genetics collaboration, porting their tissue test to CTCs, and we expect to see that expanding over time. We have discussions going with several large pharma companies in relation to multiple projects, and that's being progressed further at an upcoming conference, the World CDx Conference in Boston on the 21st of September, where we have many meetings with pharma to progress these discussions. We also have engagement with multiple med tech companies who will be at that conference, including some who have declared themselves wanting to do joint sales with ANGLE of CTCs -- potential CTC solutions marrying their downstream technology and offering that to pharma, which is a welcome addition to our sales approach. The partnership for DNA dual analysis. So this evidence is now beginning to get out there, and we have several molecular companies, both NGS and other molecular downstream analysis companies looking to partner with us to take that further forward. So we expect to see progress in relation to that. We also have some companies interested in partnering with ANGLE in relation to protein analysis. So this is looking at the proteins such as the HER2 and the Androgen Receptor that I mentioned earlier on in the presentation. There's many different ways that you can analyze these proteins, but you have to have intact cancer cells to do it, and we provide that solution, which isn't otherwise available. The methods can involve immunofluorescence, immunohistochemistry and FISH, to name a few. So there are several companies wanting to partner with us on that. We're hopeful that we'll be able to agree a suitable clinical study with the NHS soon, which would be then to evaluate the benefits that can come from analyzing and circulating tumor cells, first for lung cancer, but then for other cancers. And obviously, the target there would be to generate the clinical evidence which will be sufficient for the NHS to seek to adopt solution from ANGLE as a routine solution. And obviously, we're a U.K. company. We're close to the Royal Marsden, who's heavily involved in this, and we have a number of benefits that we can offer them over and above their current solutions, which are based from the U.S. ctDNA companies. And we -- the NHS is the largest medical market in the world in terms of a single customer, and we believe that adoption by NHS would drive -- further drive worldwide interest in our technology. And as I mentioned, we're working on our own clinical laboratory accreditation. That's going very well, and we expect to see that complete by the end of the year. So in summary, we have a breakthrough technology, and it is capable of transforming cancer patients' outcomes, both diagnosis and treatment as well as reducing costs for health care providers. We believe it provides the best sample for analysis, and particularly that is now being proven for next-generation sequencing, which is the major area of focus for all the health care providers. And it's interesting that NGS is getting a lot of attention. The cost of NGS sequencing is dropping and the sensitivity is increasing. The adoption of artificial intelligence is increasing. And again, that enables patents to be seen that might be missed otherwise and the cost of AI is dropping. So what you actually end up with is a limiting factor is access to the best sample. And we believe that intact living cancer cells taken at a real-time point from the patient blood provides the best possible sample. In terms of downstream analysis, we have got a unique DNA molecular analysis of intact cancer cells married also with the ctDNA, and that gives the ability to look at clonal evolution. And looking at clonal evolution and how the cancer is changing is the driver to get ahead of the spread of disease. And that's why the new drugs to block cancer progression based on Parsortix are a major development. And that's also why the NHS is now expressing strong interest in what ANGLE is doing. So thank you very much for listening. We'll now move to Q&A, and Ian Griffiths, our CFO, will join me for that.
Operator: [Operator Instructions] We have our first question from Adam McCarter from Cavendish.
Adam McCarter: I've just got a few. So yes, just you talked during the presentation about the challenging environment sort of experienced during H1. Just wanted to know if you've started to see any encouraging signs of these headwinds begin to subside at all in the second half of the year? So second question then just on the NHS. Just how do we sort of think about those NHS clinical studies that Parsortix could be incorporated into the opportunity and the materiality there? And then the final question is obviously good to see sort of more of those high-impact journal publications for Parsortix, particularly the Nature Med one. Are these types of publications helping sort of in your BD efforts and helping progress those conversations with pharma and the medtech?
Andrew David Newland: Thank you very much, Adam. The first comment -- question was about encouraging signs. Well, certainly, the Myriad Genetics signing up to go ahead with us was a very encouraging sign. That was a conversation that had been going on for quite some time. And they've taken the decision that despite the conditions, they want to start investing in this. I listened recently to the Chief Executive's presentation of their own results, and they specifically referred to extending their offer into the continuing cancer care continuum. So I thought that was a very promising sign. That said, there are multiple others, which I would have liked to have dropped by now. So let's hope to see -- we'll see some more of them coming through in a similar way. In terms of the NHS side of things, what that's generally speaking about is the fact that they are adopting the blood test-first in lung cancer patients for 15,000 patients per year. And interestingly enough, they literally do throw away the blood cells. And that's quite a compelling argument. You're throwing away the best part of the sample with Parsortix, we can analyze that. So I guess we'll start off with a pilot study first and then if they like it, we can expand. But the good thing is they don't even have to take an additional tube of blood to address this. And in terms of the -- Ian, you can add to this if you wish to. But in terms of the publication side, absolutely, we use these peer-reviewed publications to drive business development. We have a medical writing team that packages that information, and it forms a lot of the interaction that we have with prospective collaborators and customers.
Ian Griffiths: Yes. And I'd probably add to the encouraging sign a couple of things. So one is increasing sort of awareness of the need to incorporate multi-omics into oncology and multi-omics, just for clarity, it means not just DNA, but adding in RNA and protein information. And if you look at Illumina, in particular, the way they're developing their next-generation sequencing is they can already do RNA and the sensitivity and cost points are improving that all the time. But they're also introducing a new protein solution as well. So obviously, we've got the perfect sample to fit with the Illumina equipment. And then the other thing is in discussions. So obviously, we produced data earlier in the year on the dual analysis. And that's generating a lot of interest because I think people are quite surprised how much additional DNA information we're finding with CTC-DNA, not just what the ctDNA produces alone. So there's quite a lot of interest around that complementary nature, but the fact that there's a lot of additional data.
Operator: Our next question comes from Edward Sham from Singer Capital Markets.
Edward Sham: Congratulations on all the operational progress despite the tough sector headwinds. I've got a few questions. But if I could just first start with your kind of your large pharma contracts because you've obviously completed in the first half, the 3 contracts with Eisai and AstraZeneca. I was just wondering how much visibility do you have in converting those into further contracts? And just can you give me a sense of the wider pipeline? Are you seeing strong traction across pharma? Or is it more medtech?
Andrew David Newland: So in terms of the visibility on the new contracts, regrettably, we don't control the timing of these large pharma, and they will tell us when they're ready to do whatever it is that they want to do. So that's a bit of a challenge. But we are seeing increased wider interest from large pharma, and we have a very strong roster of meetings at World CDx. And this includes pharma that we've been dealing with for some time. We have been called on by several large pharma to provide them with -- essentially, they call it an RFI, a statement of what we can analyze from CTCs and how that works and how much we would charge them for that. So we do know that there are multiple players at these large pharma who are actively considering adoption of our solutions. What we don't know is when they might decide to jump in and also when those studies would start. So that's it really. I mean basically, there is mounting evidence and mounting interest, but we've got to get it converted.
Edward Sham: No, that's really helpful. And then maybe just on the Myriad Genetics collaboration. Can you just outline the key milestones and importantly, how the economics would work if that was to be commercialized at scale? And just kind of give me an idea would that -- would ANGLE's revenues primarily be through services? Or is that also driving part sorting sales and consumables as well?
Andrew David Newland: So we gave an announcement in relation to the work with Myriad. It was a bit lighter on details, and that's because they don't want to disclose some of those bits of detail. But I can talk in principles. So initially, we are being paid to provide some direct services to assess our sample going into their test. Some of that work has already been done. Now we're looking at various different modifications, which may improve the outcomes. So that's paid for service work. Assuming that progresses, what I would anticipate is there will be more paid for service work in terms of clinical trials to actually assess how well the CTC test does against the tissue biopsy test. And then beyond that, an implementation would involve us selling them a whole lot of Parsortix machines and setting up -- they would have to set up a Parsortix laboratory. So we'd have quite a lot of product sales. And every single sample, of course, would then need a Parsortix cassette as a consumable. And we currently charge $300 a cassette for that purpose. So that's on the specific tests we're working on at the moment. But they have a whole series of tests. And if the first one is looking good, there's absolutely no reason why they wouldn't do all their tests in a similar way. So we'd expect to see them getting -- wanting to get closer and closer to ANGLE. And then what I just described in terms of the sort of revenue flows being multiplied out by multiple different tests.
Edward Sham: That sounds like a really great opportunity. And then just maybe just one last question on costs and runway. So you've highlighted your cash runway goes into Q1 '26. But I was just wondering beyond that, you've mentioned the alternative sources of funding. I was just thinking what can you do now? So realistically, can you take further cost out of the business and kind of what do you think your cash burn is going to look like through to kind of the end of the year?
Andrew David Newland: Ian, do you want to cover that one?
Ian Griffiths: Yes. Obviously, we are -- and you've seen that from the half year, we are continuing to try and manage our costs tightly. So certain spend has been sort of paused, certain costs have been cut back. But the nature of us being a regulated industry and having to have the sort of capability and capacity to deliver on the projects, deliver on the milestones means there's a certain level of underlying spend. So we're focused very heavily on the sort of that milestone delivery, and that can in itself be sort of one of the potential sources of funds. As we highlighted in the interims, there's a variety of sources of funding that are available to us. It's not just the revenues, but there's also commercial milestones, licensing, other income from collaborations with industry partners as well as sort of debt and equity funding, which is what we've historically done with the company. So we flagged, we will need to raise additional funding through one or a combination of such sources. We know there's challenges on the AIM market and biotech sector, which are well documented. And so our focus is very much is generate the milestones, generate the contracts that show that we're making that commercial progress to secure that support.
Operator: [Operator Instructions] We currently have no further audio questions. We'll now move on to our text questions. Our first question is from Franc Gregory from Trinity Delta. She asks, following up on Adam's question, what can you tell us about the state of discussions with large pharma and large medtech companies?
Andrew David Newland: So Franc, thanks for the question. So I think I gave a fair amount of information on that. We're talking to large pharma. There's multiple large pharma involved and across a variety of different drug categories. Just to recap, the protein analysis, which is what we've done so far for pharma, such as HER2 Androgen Receptor and the DNA Damage Response proteins, those are all things that have to be done by looking at cells and looking for expression. So they cannot go elsewhere for that. And there is, therefore, quite a lot of interest and particularly from antibody-drug conjugate companies because the antibody-drug conjugate attaches to the cancer cell via the protein. And if that protein is not there, then it won't work. And as an example, AstraZeneca's drug in HER2 is a HER2 antibody-drug conjugate. It is prescribed currently based off tissue biopsy. So if the patient is HER2 positive or HER2 low, then they'll be given that drug but as a second or third-line therapy, and that can be 3, 5 or even more years after the tissue biopsy. So there's published independent data that shows that up to 40% of the HER2 status would have changed in that time frame. This is mirrored across all the different proteins, and that's why the pharma are interested in that. The second interest for the pharma is in relation to the DNA dual analysis. And our pitch there is that the circulating -- so some of the pharma are adopting circulating tumor DNA analysis in their clinical trials. And our pitch to them is you're missing out on information, which might be critical in your clinical trial by not analyzing the circulating tumor cells in the blood cellular component. And that is beginning to gain traction as well. It's obviously a new area because we've only just developed it, but that is the subject of a lot of the conversations in the World CDx. So hopefully, that's a little bit more information on the pharma relationships. In terms of the med tech, we've got several big med tech product providers who offer molecular or protein-based testing solutions, which are sold worldwide, but they don't have access to a repeat sample. And those people are beginning to talk to us about implementing a CTC solution, which could be sold to their customers. And also, there's quite a lot of interest in working for -- jointly to get sales from pharma. And that would help us a lot because credibility of a very big company that they already do companion diagnostics with in tissue, wanting to work with ANGLE would obviously be a credible offering to the pharma.
Operator: We have a follow-up question from Franc. How long and complex is the selling cycle into these partnership discussions?
Andrew David Newland: Sorry, I missed that. Could you repeat the question?
Operator: How long and complex is the selling cycle into these partnership discussions?
Andrew David Newland: That's very variable. So what's happened is that the selling cycle has been longer than anticipated for the reasons that I said that these pharma are delaying commitments to various different things. But generally speaking, you're looking at a 6-month engagement before you can actually get into a sale because you're providing information to the pharma on the specific data from -- it was an earlier question, but data from the publications, for example. And then we sometimes do some pilot work ourselves. And so we have to submit a lot of data to be considered before they then decide to go forward.
Operator: Our next question comes from Nigel Birks from Cavendish. [ BSL ] highlighted the unique potential of Parsortix in cluster cells a while back. What is new now? And how might this be commercialized?
Andrew David Newland: So that's a great question. Thank you very much, Nigel. So what is new is that they have actually used the Parsortix system with breast cancer patients to identify circulating tumor cell clusters. And then they have dosed these patients with the heart drug, digoxin, and they've showed that the circulating tumor cell clusters separate into individual cells. So this is a completely new way of trying to approach cancer therapy is to reduce the competence of the circulating tumor cells to actually grow somewhere else and cause the secondary cancer. The reason that's significant is because well over 90% of patients who die from the metastatic spread to secondary cancer sites. Now that is caused by the circulating tumor cells in clusters landing somewhere else and growing. And there's -- so -- and they've demonstrated in a mouse model that if this heart drug is given, then the circulating tumor cell clusters disaggregate in the mouse and the mouse does not then succumb pretty much at all to the cancer. So it doesn't spread and kill the mouse. So the hope is that, that will translate to cancer patients. Now normally, there would be quite a big risk associated with a transfer of a mouse model across to a human model because there are a variety of differences, which mean that it might not be successful. So this first step shown that they have been successful in disaggregating the circulating tumor cell clusters is incredibly important. But the second element is that there was work done in the mid-1980s and 1985, the first large-scale study was done looking at breast cancer patients and trying to work out differences between the ones who had a successful outcome and the ones who didn't. And what they found was that actually a good factor for a better outcome was relating to having a comorbidity of a heart condition. So can you believe that? So if you've got cancer, you'd be better off if you have a heart condition, you're more likely to survive your cancer than if you don't have a heart condition, which is patently absurd. So the only -- and nobody understood that in the '80s and late '80s when this was investigated in detail. But they then -- and they sort of gave up on it. But now, of course, when we now know that heart drugs disaggregate circulating tumor cell clusters, there's the possibility that, that's the reason why we're seeing the progress in the mouse model. So the spin-out company is now working on some other drug targets very similar to digoxin, but with greater potency for CTC cluster disaggregation and basically less side effects. So that's super exciting because it could likely lead to a lot of work with Parsortix on clinical trials, which we can obviously enable and make money out of. And then as and when it potentially comes to market, the Parsortix is an absolutely crucial element. It would have to be used with every patient on multiple time points.
Operator: We currently have no further questions. So I will now hand back to Andrew for closing remarks.
Andrew David Newland: Well, I'd like to thank everybody for their support. It's obviously very disappointing that we didn't deliver higher revenue lines. We're hopeful that this will change, and it will change as we get our large pharma and our large med tech collaborations moving forward. And as I mentioned, our clinical lab will open up the potential for us to actually start providing tests for patients. And there is a very, very strong demand from the medical world and patients for this approach. And the fact that the NHS has started engaging with ANGLE is, I believe, a very strong positive. So thank you very much for your support. Have a good day, everybody.